Operator: Ladies and gentlemen, thank you for joining us, welcome to the Hinge Health Fourth Quarter 2025 Earnings Call. After today's prepared remarks, we will host a question and answer session. If you would like to ask a question, please raise your hand. If you have dialed in to today's call, please press 9 to raise your hand. And 6 to unmute. I will now hand the conference over to Bianca Buck, Head of Investor Relations. Bianca, please go ahead. Good afternoon, and welcome to Hinge Health's
Bianca Buck: fourth quarter and full year 2025 earnings call. I'm Bianca Buck, head of investor relations. With me on the call are Daniel Perez, our cofounder and CEO, James Pursley, our president, and James Budge, our CFO. I want to thank everyone for joining us today. We'll be walking you through our Q4 and 2025 annual performance, sharing updates on our product innovations and commercial momentum, and providing expectations for our Q1 and full year 2026 revenue and operating profit. As a reminder, this conference call is being recorded. All relevant materials are available on the investor relations section of our website. Today's discussion will include forward-looking statements that are subject to various risks, uncertainties, and assumptions. These statements reflect our current views and expectations regarding future events, including expected performance of our business, future financial results, and growth strategies. While these statements represent our good faith judgment and beliefs, actual results may differ materially from those projected or implied. We undertake no obligation to update any forward-looking statements except as required by law. For a detailed discussion of the risks, please refer to our SEC filings, including our most recent quarterly report on Form 10-Q filed on 11/07/2025, and our annual report on Form 10-K will be filed in the coming weeks. All financial measures discussed today are non-GAAP, except for revenue, which is GAAP or as otherwise indicated. These measures should be viewed in addition to and not as a substitute for our GAAP results. Reconciliations to the most comparable GAAP measures are included in our earnings release appendix available on the Investor Relations section of our website. With that, I'll turn it over to Dan.
Daniel Perez: Thanks, Bianca, and good afternoon, everyone. I'm excited to share our fourth quarter and full year 2025 results and provide an update on our overall progress. 2025 was an exceptional year that demonstrated the power of our vision to automate health care delivery through technology. We delivered outstanding financial performance while making meaningful advancements in our AI-related investments and expanding our market reach to nearly 25 million contracted lives in the best year we've ever had. Today, we will walk you through the following areas. First, I'll give you a high-level recap of our financial performance for the fourth quarter and full year, highlighting the continued momentum in our core metrics and strong finish to 2025. Second, I'll share some exciting product updates, particularly around our AI initiatives that are transforming how we deliver care to our members, as well as an update on Hinge Select, our high-performance provider network. Third, James Pursley will discuss our commercial progress, including the tremendous success of our sales season and some encouraging market developments. Next, James Budge will walk you through the detailed financials and our outlook for 2026. And lastly, I'll wrap up with thoughts on why we're so bullish about our business and our future before we open up to your questions. Let me start with our financial results. We delivered $171 million in revenue for Q4, representing 46% year-over-year growth. For the full year 2025, revenue reached $588 million, up 51% compared to 2024. Our last twelve months calculated billings reached $671 million, up 44% compared to the same period in 2024. These results demonstrate the growing demand for Hinge Health from our clients. Our operational efficiency remains strong as well. Gross margin was 85% in Q4 and 83% for the full year 2025, reflecting the scalability of our technology-driven care model. With a full year 2025 operating margin of 20%, operating margin reached 28% in Q4, demonstrating the impact of our investments in automation and how far along we are in achieving our target of 25% plus operating margin, representing a free cash flow margin of 36%. Perhaps most notably, we generated $62 million in free cash flow in Q4. For the full year, we generated $180 million in free cash flow for an annual free cash flow margin of 31%, reaching the target free cash flow margin we shared at IPO much sooner than anticipated. In 2025, our performance on the rule of 40 metric, which combines revenue growth and free cash flow margin, was 81 for the full year and 82 in Q4, more than double the 40 standard. We anticipate significantly exceeding the rule of 40 again in 2026. To put our numbers into context, in the last ten years, I think there's only been less than 10 other public tech companies with over $500 million of revenue, over 50% growth, and 30% free cash flow margin. We're a very unique company and still on the first page of our story, poised to significantly expand our platform market presence in 2026. Before I dive into our product updates, I want to emphasize what drives everything we do at Hinge Health. We're using technology to automate health care delivery, starting with musculoskeletal conditions. This quarter, we surpassed 100 million lifetime member activity sessions, with 41 million of those sessions completed in 2025 alone. Every session generates data that helps us improve our programs, making our care more effective for the next member. We build around the triple aim: delivering better health outcomes, creating a superior experience, and reducing overall health care costs. The more members we serve, the smarter our platform becomes, and the better we can deliver on all three of those goals. This quarter, I want to highlight two key areas where we've made significant progress. First, our AI-powered tools are transforming the efficiency of our delivery while also improving our member experience. We've rolled out improvements that help our clinicians work more effectively and handle more members without compromising care quality. The results have been remarkable. In 2025, we served 47% more members while keeping care team costs flat. One major driver of this improvement was our successful rollout of automated AI-powered communications for routine messaging, freeing up our care team to focus on higher-value human interactions where they can make the biggest difference. This led to the average time our care team spends in asynchronous sessions supporting members falling by 28% in just one quarter from 03/2025. A key contributor to both our care team efficiency and member satisfaction has been Robin, our AI care assistant. While still early in the rollout, members engaging with Robin are giving it a 92% positive rating, and we're seeing higher response rates compared to interactions with our human care team, an early indication of the trust and comfort members are building with these AI-driven experiences. While we're driving these efficiency gains, our member NPS scores are at an all-time high. This shows we can deliver better care at a lower cost. Moreover, given our tech investments, we're currently planning to keep the size of the care team flat once again in 2026. This will allow us to invest more in the member experience, such as increasing the percentage of members who receive an Enso. Notably, when a member receives an Enso, they have 70% more exercise therapy sessions because it's hard to do your exercises when in pain. Second, Hinge Select, our high-performance provider network, was available to several hundred thousand eligible lives in the fourth quarter. Multiple ecosystem partners have recognized Hinge Select's potential and included the offering in our co-selling agreements, and we have major momentum with our health plan and PBM partners, with one of the largest five national plans by self-insured lives already approving Hinge Select to be sold into their self-insured client base. And while it's still early in our launch, the data is promising. We're seeing a mix of member experiences. Some do in-person physical therapy only, some do one or two in-person sessions then transition to our digital platform, and most excitingly, we've had members who thought they were heading for surgery but were able to avoid elective surgeries altogether after consultations with our orthopedic specialists. Notably, about 85% of Hinge Select members were able to move forward with a conservative care plan, most often digital physical therapy. This demonstrates Hinge Select can bend the cost curve. When you compare our data to commercial benchmarks, members that have used Hinge Select on average have more good spend, such as non-surgical orthopedic evaluations and physical therapy, and less low-value spend, such as imaging, procedures, and surgery. As a reminder, we're building what's essentially a two-sided marketplace, connecting members with high-quality providers. These take time to build, but once built, they create a lasting moat through network effects. We're not expecting much revenue impact from Hinge Select until at least 2027, but we firmly believe that once scaled, it will become one of our most enduring competitive advantages. With that, let me turn it over to James Pursley to discuss the outcomes of our sales season.
James Pursley: Thanks, Dan. As a quick reminder, our sales cycle aligns with corporate benefits planning, with most new contracts signed during the second half of the year as companies finalize their employee benefits packages. These newly contracted clients typically go live in the first half of the following year, creating the predictable cadence that underpins our billings and revenue growth model. I'm thrilled to report that our 2025 sales season was exceptional. We added 4.8 million net new contracted lives to end the year at approximately 24.6 million contracted lives across over 2,800 clients. This represents 25% year-over-year growth at the client level and 24% year-over-year growth on a contract live basis. That breaks down to 22 million self-insured lives and 2.6 million lives across fully insured Medicare Advantage, federal employee programs, known as FEP. Within the non-self-insured segment, we saw a 130% increase from the 1 million lives we had at the end of 2024, with the largest growth coming from fully insured and FEP. For many of our fully insured Medicare Advantage and FEP clients, we take a staged approach to roll out targeting partial populations similar to a land and expand model. In 2025, due to our success and the strong ROI outcomes we delivered, we were able to unlock several existing fully insured and Medicare Advantage clients, bringing with them hundreds of thousands of lives and expansions. On the enterprise side, our clients now represent 53% of the Fortune 100 and 45% of the Fortune 500. This demonstrates the scale of trust we've earned from leading organizations nationally, representing an enviable asset from which to bring our future products to market. Moreover, it shows the scale of white space remaining. Given our roughly 25 million lives under contract, it's but a fraction of the 215 million people in our current markets. We end the year with an overall head-to-head competitive win rate at an all-time high, which speaks to both the strength of our value proposition and our team's execution. While the majority of our wins continue to come from organizations that are adopting a digital MSK solution for the first time, in 2025, we also saw a meaningful number of competitive conversions, clients chose to move to Hinge Health from an existing provider. One notable example was a large enterprise with over 200,000 lives that made the decision to leave a competitor and partner with us in the final month of the year, reflecting the strength of our product breadth and demonstrated ROI. Combined with our annual client retention rate of 97% in 2025, we believe this underscores the long-term value we deliver to our clients. This success is a testament not only to our product but also to our partners. We added additional partners in 2025 and now have more than 60 health plans, pharmacy benefit managers, third-party administrators, and ecosystem partners. These partnerships provide validated distribution channels, reduce the complexity for prospects to purchase Hinge Health, and position us as the incumbent to win their other lines of business. Notably, three out of five of the largest national health plans by self-insured lives now also offer Hinge Health to their own employee populations, two of which were won in 2025. This is a powerful validation of our platform's effectiveness and demonstrates our partners' confidence in our ability to deliver meaningful outcomes for their most important stakeholders, their own employees. Finally, this quarter, we published our twenty-first peer-reviewed research study, an Outcomes Analysis. This study showed that participants in our chronic back program had 60% fewer imaging visits, such as X-rays and MRIs, for low back pain at three months, compared to a similar control group. This peer-reviewed study, published in the Journal of Health Economics and Outcomes Research, reinforces our value proposition of reducing unnecessary medical interventions while improving outcomes. With that commercial update, let me turn over to James Budge to walk through our financial results and outlook.
James Budge: Thanks, James Pursley. Let's dive into our fourth quarter and full year 2025 financial performance. As a reminder, our billings model is built on three key drivers. Lives represent the number of people eligible for our program. Yield is the percentage of those eligible people who actually enroll and engage with us. And price is what we charge per engaged member. When you multiply these three factors together, the result is our calculated billings, which is the foundation of our revenue model. For the fourth quarter, our LTM calculated billings reached $671 million, representing strong 44% year-over-year growth compared to $468 million at the end of Q4 2024. Q4 revenue came in at $171 million, up 46% year-over-year from $117 million in the prior year fourth quarter, and well ahead of our guidance range of $155 million to $157 million. For the full year 2025, revenue reached $588 million, representing 51% year-over-year growth over the $390 million in 2024, also coming in well above our guidance range of $572 million to $574 million, and representing a cumulative 15% beat above analyst expectations at IPO. This revenue outperformance demonstrates the continued strength in our underlying business fundamentals. The revenue beat was driven by better than expected billings, stemming from stellar yield improvements of over 50 basis points year-over-year from 3.4% as of the end of 2024 to 3.9% as of the end of 2025. We ended the year with 20.1 million LTM average eligible lives. This resulted in over 783,000 members as of the end of the year, a 47% increase from 2024. On the pricing side, our average selling price stayed essentially flat as expected. As of Q4, about 50% of our eligible lives had moved to the new engagement-based pricing model. Our high client retention that James Pursley spoke to, combined with our strong yield improvements, were the main contributors to our net dollar retention being well above 110% for 2025. As a reminder, on net dollar retention, we believe anything above 110% is the measure of success for our industry. Moving to our operating efficiency, our gross margin reached 85% in the fourth quarter, up from 82% in Q4 2024, and 83% for the full year 2025 compared to 78% in 2024. This improvement was driven by continued care team gains enabled by our AI-powered tools, offset partially by the increase in the percentage of members that received Enso. We saw strong leverage across all operating expense categories. Total operating expenses were 57% of revenue in Q4, down from 64% in Q4 2024, and 63% of revenue for the full year 2025, down from 84% in 2024. Operating leverage translated to strong profitability and cash flow. We generated $48 million in income from operations for Q4, which came in well above our guidance range of $34 million to $36 million, with an operating margin of 28% compared to 18% in Q4 2024. For the full year 2025, we generated $119 million in income from operations with an operating margin of 20%, a substantial improvement from negative 7% in 2024. Free cash flow performance was exceptional. We generated $62 million in free cash flow in Q4, representing a free cash flow margin of 36%. For the full year, we generated $180 million in free cash flow compared to $45 million in 2024, with an annual free cash flow margin of 31% compared to 12% in 2024. For all of 2025, we generated $2.12 of free cash flow per share using our Q4 diluted weighted average shares outstanding of 85 million. I'll remind you, as Daniel Perez did, that on our May IPO, we set a target model for ourselves for a 30% free cash flow margin, and we've already achieved it only seven months after becoming public. We ended the quarter with $479 million in cash and equivalents, compared to $497 million at the end of Q3. Our strong cash flow generation was offset by the amount deployed through our share repurchase program announced in Q4. As a reminder, in November, our board authorized a share repurchase program of up to $250 million that we expect to execute as market conditions warrant. In Q4, we repurchased 1.4 million shares for $665 million. And speaking of shares, as we move beyond our IPO year and diluted share counts normalize in 2026, we will now also begin reporting earnings per share. Our diluted net income per share in Q4 with now normalized share counts was 49¢, which we believe highlights the earnings power of the business as we head into 2026. The overall trend in our financial results reflects the scalability and efficiency of our business model. As we continue to grow our member base and deliver outstanding member outcomes and cost savings to our clients, we are delivering top and bottom line performance. Looking ahead to 2026, I'm pleased to provide our guidance for the first quarter and full year, which reflects the strong foundation we've built and our continued confidence in the business. For Q1 2026, we expect revenue to be in the range of $171 million to $173 million, representing 39% year-over-year growth at the midpoint. For non-GAAP income from operations, we're projecting $30 million to $32 million for Q1, or an 18% margin at the midpoint. As a reminder, our margins are typically lowest in the first quarter of the year and dip down from Q4 given the costs incurred to launch new clients while the full revenue benefit has yet to be realized. For the full year 2026, we expect revenue to be in the range of $732 million to $742 million, which represents 25% year-over-year growth at the midpoint and is $39 million higher than the current sell-side estimate consensus. For full year non-GAAP income from operations, we expect $151 million to $156 million, or a 21% margin at the midpoint, which is $18 million higher than the current sell-side estimate consensus and represents a 100 basis point improvement over 2025 despite all the meaningful investments we expect to make in 2026. Several key factors are driving our 2026 outlook. We currently expect average LTM eligible lives for full year 2026 to be 24.4 million lives. This forms the baseline for our financial guidance, with the growth coming from the new lives we already won. While our guidance today assumes a flat yield, we have a clear road map to continue driving incremental improvements over time. We remain well below the roughly 9% of US adults who see a physical therapist, which we view as a realistic long-term benchmark with an opportunity to close and potentially surpass over time, with our easier to access and lower cost to members solution. On the pricing side, we expect our average selling price to stay essentially flat. We're viewing 2026 as a year to incrementally invest, given the strong margins we achieved in 2025. These include headcount investments in research and development to accelerate our new product initiatives, as well as targeted investments in sales and marketing to support Hinge Select expansion and accelerate our growth in the small and medium business markets. These investments position us to capture the significant long-term opportunities we see ahead. At the gross margin level, any further improvement we see from our AI efficiency tools for the care team will likely be mostly offset by broader Enso deployments. Given this, we anticipate around a 100 basis point improvement in 2026 over 2025. As we move beyond our IPO year, we will transition to discussing GAAP-based weighted average diluted shares, rather than the total diluted shares granted and outstanding. For 2026, we expect our GAAP-based diluted weighted average share count to be in the range of 85 to 87 million shares, excluding the impact of any additional buybacks. And a further word on GAAP, we believe GAAP profits are important and expect to be GAAP profitable in 2026 as we were in 2025. Our annual dilution from stock grants has declined each of the last three years, and we expect to manage to a further decline again in 2026. Before I turn it back to Daniel Perez, I want to highlight an exciting opportunity for our analysts and investor community. We are hosting our annual client conference, Movement, in Chicago in June, and we're launching our inaugural investor track. You'll hear from some of our leaders and mingle with those who make Hinge Health a success: our clients, members, and partners. Please reach out to Bianca after this call to express your interest in attending. The combination of our commercial momentum, robust cash generation, and strategic investments positions us well for continued growth and market leadership, and we look forward to sharing more results in the coming quarters and at the investor event at Movement. With that, let me turn it back over to Daniel Perez for some closing thoughts.
Daniel Perez: Thanks, James Budge. Looking at our results this quarter and the trajectory of our business, I couldn't be more excited about what lies ahead for Hinge Health. 2025 was an exceptional year that demonstrates the power of our vision. 25 million people across over 2,800 clients, spanning every industry you can imagine: manufacturing, retail, hospitality, tech, public sector, and more. And, of course, we began trading on the New York Stock Exchange, embracing the high standard of public accountability that comes with it. The momentum we're seeing across every aspect of our business reinforces my conviction that we're executing on a generational opportunity. Our platform is becoming more intelligent with every interaction, powered by the proprietary data we've built across more than one and a half million members and over 100 million sessions. Insights that allow us to deliver a complete, clinically proven offering that now extends from software and connected hardware into high-quality in-person networks. At the same time, we've spent more than a decade building deep, trusted partnerships across the health care ecosystem, embedding ourselves with health plans and employers who value working with a proven market leader in a highly regulated, outcomes-driven space. The compounding impact of these investments is clear: higher member satisfaction, stronger clinical outcomes, and durable client retention, all working together to drive long-term growth. As we look ahead, I'm energized by the breadth of opportunities in front of us. We have a clear road map to expand our impact, the financial strength to continue investing in innovation, and a team that's proven we can execute at scale. The health care system needs what we're building, and we're just getting started. Thank you for joining us today and for your continued partnership. With that, I'll turn it back to Bianca to open up the call for your questions.
Bianca Buck: Thanks, Daniel Perez. Operator, you now may open the call for questions.
Operator: Thank you. We will now begin the question and answer session. Please limit yourself to one question and one follow-up. If you would like to ask a question, please raise your hand now. If you have dialed in to today's call, please press 9 to raise your hand. And 6 to unmute when called upon. Please stand by while we compile the Q&A roster. And your first question comes from the line of Ryan Powderly Grove Gross with Barclays. Your line is now open.
Ryan Powderly: Okay. Great. Good evening, team. Ryan Powderly on for a sec. Barclays. Thanks for taking the questions, and congrats on the strong finish to the year. Dan, maybe for you just to start off, we've seen a lot of software stocks responding negatively to fears around AI potentially being able to replicate what these companies can do. How do you think about Hinge's moats, and how would you respond to that view these days?
Daniel Perez: Great question. Thanks, Ryan. Since the start of our existence, we always had potential new entrant threats, either large tech companies, incumbent health care companies, or new startups. But we've thwarted those off and thrived because our competitive advantages go well beyond just a code base. Those advantages include our proprietary data, our distribution channels, a product experience that extends beyond software, and our clinical validation. Start with our product proprietary data. Even if OpenAI and Gemini scrape the entire Internet, they have not conducted 100 million treatment sessions like we have. Simply put, we may have the largest and most granular dataset for MSK conditions in the entire world. Two, is our distribution channels. We've spent a decade building deep relationships with health plans, PBMs, employers. This requires not just work on our end, but substantial work on their end. And three is that our product experience extends beyond software to also include hardware and in-person care. When it comes to automating health care, you won't do it with software alone. You're going to need hardware as well as in-person care elements. And fourthly is our clinical validation. You could build some apps in a day or build some apps in a weekend, but a two-year outcome study still takes two years no matter how much AI you put into it. Look, we're incredibly excited about AI and believe we have meaningful entry barriers that extend well beyond software development.
Ryan Powderly: Excellent. That's super helpful perspective, Dan. James, maybe my follow-up for you. Very helpful color around half the base using the new engagement-based pricing model. Since a bigger portion of the base is now utilizing this, can you just recap for us when you typically see engagement levels hitting their highest billable milestones and how the shape of revenue recognition differs from the old model, if at all? Thanks.
James Budge: Yeah. Thanks, Ryan, for the questions, and we're delighted it's gotten to 50%. We think it aligns interests between us and our clients really well. We see that 50% ticking up a little bit as we move throughout 2026 as well. So to your question, the upfront model, obviously, on the billing side, you would get paid mostly upfront. Maybe there's some delayed billings occasionally, but you would have gotten billed out the door on day one. Now the bills are going out as the usage happens, which as you can imagine, someone who has something ailing them, they want to solve it as quickly as possible. So it usually extends over a two to three-month period instead of billed upfront. So a minor difference in when the cash or when the bill goes out and the cash comes in. From a revenue record perspective, the revenue starts on day one of the treatment. So under either method. So it makes no difference on the revenue side.
Ryan Powderly: Very helpful. Thanks, guys.
James Budge: Yep.
Operator: Thank you. Your next question comes from the line of Jailendra Singh with Truist. Line is now open.
Jailendra Singh: Thank you and thanks for taking my questions. Congrats on a very strong quarter and end of the year. I want to ask about yield, which was one of the key drivers for the outperformance in 2025. You guys are expecting it to remain flat in 2026. Maybe talk about puts and takes there. You did say that you have a clear road map to drive incremental improvements. But maybe talk about some initiatives you're putting in place which could drive upside to the metric.
Daniel Perez: Great question. Thanks, Jailendra. And you're right. In our go-forward forecast, you could see that lives have been inputted into that we've been we're assuming a flat year-over-year yield. But we had a great Q4 and that and particularly with regards to our member enrollment or our enrollment yields. And two key drivers worth talking about. One was our continued investment in product-led growth, which has helped us very efficiently enroll, engage, and retain members. We have evergreen investments in product-led growth that are constantly landing singles, doubles, and the occasional home run, which we hope to talk about maybe in our next earnings call. But second was targeted enrollment efforts. These are enrolling members based on their prior claims history. And that ended 2025 up over 160% year-over-year. And our target enrollment also helps us substantially improve the ROI we deliver for our clients and partners because these are what we call ROI-rich members. So we view yield improvements overall, Jailendra, as a continuous long-term investment rather than the results of any single initiative. And so the progress will continue to be driven by a portfolio of efforts, and that creates a more durable and resilient system. Our strategy designs that overall performance doesn't depend on any one initiative. A lot of these initiatives to deliver results, you saw in Q4, came together very effectively. You could bet in 2026, we've got, you know, several dozen additional things we're working on again to improve our resilience in this regard.
Jailendra Singh: Great. That's helpful. And then my follow-up is around your, you know, recent developments around industry consolidation. I mean, you guys called out some competitive wins last selling season, but do you see the consolidation among your competitors impacting the landscape in any ways for Hinge Health? And if you can stay on M&A topic, maybe talk about your focus in terms of M&A, where do you think the opportunities are there.
Daniel Perez: Great question. And so we briefly looked at the Kaya acquisition and ultimately declined to proceed. And we've been fortunate to see many customers from both of them switch over to Hinge Health in the past twelve months, and our head-to-head competitive win rate is actually up strongly year-over-year. In fact, with the customers switching over to Hinge Health, some of their largest customers have switched over to Hinge Health. So our revenue remains multiples larger than both of them combined. So we're just gonna focus on continuing to widen our lead by remaining focused on our clients, new prospects, and our road map. But I don't know. James Pursley, anything to add?
James Pursley: Yeah. I think that's right. And I think when you look at the outcomes that we're delivering both clinically, the ROI, you look about the product innovation that we brought out. We don't think that the recent merger will have any material bearing on our business. And, yeah, I remain really excited about 2026 and beyond.
Daniel Perez: And your question as well about M&A opportunity. So you know, we get several inbound opportunities a week, maybe two to three. On an average week or so. We try to look after all of them. And our robust cash flows just give us a lot of optionality for tuck-ins. Our main focus is organic growth. But we're always interested in entrepreneurs who built innovative products that could help achieve our vision of automating health care delivery. We've historically focused on, like, smaller acquisitions, we've acquired a kernel of technology and a potent team, particularly an R&D team, and build it out from there. So, you know, I'd say, unlikely many entrepreneurs listen to earnings calls, but if you're an entrepreneur, that's building something that's relevant to us, we'd love to chat. And we do look at every opportunity that comes by our desk.
Jailendra Singh: Great. Thanks, guys.
Operator: Thank you. Your next question comes from the line of Craig Hettenbach with Morgan Stanley. Your line is now open. Craig, your line is open. You may have to unmute.
Craig Hettenbach: About that. Following up on the competitive backdrop, and James Pursley, you mentioned that the displacement of a large enterprise, 200,000 employees, just maybe give a little bit more in terms of that discussion and process and kinda what got you over the hump to kinda win that business?
James Pursley: Sure. Sure. I know, I think most of our the strength of our competitive win rate and our competitive conversions is around a couple of key themes. You know, first, as you think about Hinge Select and this move into unified care, this ability to elegantly integrate the physical and digital in powerful ways to deliver a great member experience and deliver even better and bigger cost savings. In an environment where cost savings is really critical. I think this concept of unified care is really resonating both with our existing clients, prospective clients, and our competitors' clients. And so that, you know, that's one element. You know, a second, I would say, the product experience. If you think about all the investments Daniel Perez mentioned, dozens of little innovations every year. That just delivers a better experience, whether it's bring your own device, whether it's unification of multiple programs into a single app experience, whether it's our Enso, the delightful transformative impact Enso has. Can add all those up in totality, and you have a really compelling offering. And then lastly, I would say it's our clinical outcomes and our ROI. We start to build results at scale year after year, client after client, industry after industry, I think it starts to, again, paint a very compelling picture that's very attractive to a lot of our competitors' clients. And so if you put those three things together in aggregate, you know, that would give you some good sense of what our prospective clients are thinking about when they make the decision to switch. Yeah. And just to add to that as well, just one quick thing is you know, when clients test our product, and actually take it for a first spin and actually trial our program and trial our competitors, our win rate actually goes up. And so we actually encourage that because we're so confident in our product experience. And when we when a client has made the unfortunate past decision to not select Hinge, then years later, they do trial our program. I compare it to their existing solution. We're in a very, very good position to win that client over to our end. And that's what you're seeing here. Our engagement is our enrollment is typically much higher. Our engagement on a per member basis is much higher. And then, of course, our ROI that we're able to deliver flows from that.
Craig Hettenbach: Got it. And then just as my follow-up, the fully insured MA and FEP markets tend to get overlooked just by the sheer size of the members today, but just, you know, it is an important driver of kind of the durability of growth. So just wanted to touch on kind of what you're seeing in those markets, what's resonating, and anything from kind of a go-to-market to catalyze further growth there?
James Pursley: Yeah. Yeah. Thank you. Thanks for the question. You know, as you heard us say, non-ASO grew over 100% this past year. I think that's driven on a couple of things. You know, one is the strength of those relationships. Fully insured and Medicare Advantage specifically. Really all three and federal, have a health plan component to it. And so as we continue to do a really great job for our health plan partners, we service their clients well as we deliver fantastic results. We build trust. Those relationships become a key lever. And then secondly and related, is exactly that. Those outcomes, you know, those organizations are oftentimes influenced heavily by actuaries and underwriters, and they're really looking at cost savings with a very critical eye. As we continue to deliver great outcomes for those clients, we're seeing growth in fully insured, in Medicare Advantage, in our federal employee program. So it is, as you noted, it's going to be an important part of our future growth. We're really excited by the progress we've been in 2025 and feel like we're just getting started, though, in those markets for 2026 and beyond.
Craig Hettenbach: Got it.
James Pursley: Thank you.
Operator: Your next question comes from the line of Elizabeth Anderson with Evercore ISI. Line is now open. Please go ahead.
Elizabeth Anderson: Hi, guys. Good afternoon, and thanks so much for the question. I would maybe just to piggyback off of Craig's question a little bit further, like, one thing that we hear sometimes from investors is sort of just better understanding the TAM expansion story. Some others in the market have gone into multiple products and so seeing that the pathway. Can you just talk about and remind some of us again how you see that TAM expansion folding up besides self-insured and then the fully insured populations. Thank you.
Daniel Perez: Sure. There's a couple ways to slice the TAM. And so one key thing is just so that, you know, you could start at this global health care spend. About 50%, 45% or so percent of global health care spend is spent in the United States. If you lose the United States, you're in a you're in a pretty bad spot when it comes to winning your category. Another way of slicing it is, you know, what is the indication you address and how big is that? So for us, even focusing on physical therapy, out physical therapy is about a $60 billion market. Or more just in the United States. About $600 million of revenue. We have got just a sliver of the overall physical therapy market. So just focusing on this, we have a massive amount of runway ahead of us to capture physical therapy here in the United States, and we want to make sure we capture that opportunity. And at the same time, we are starting to already develop, and we've been developing for quite some time, our next product. That will come after that that will allow us to chip off another portion of health care spend because physical therapy is $60 billion overall spend. That's about 11.2% of total health care spend. And so we chip off another half a point of health care spend, will be, you know, another $30 billion TAM, and then we're able to upsell our existing customers because we drove so much trust in them to these new products that we launched. We're continuing to peel away aspects of care using software and connected hardware to automate portions of that care, we can transform outcomes, experience, and costs. And so that's how we see TAM expansion as both adding new lives, but adding new indications and then upselling our customers to those. We want to be very thoughtful with anything we bring to market. We want to, you know, have confidence that we'll be number one or number two over time. We've built enough reputation with our customers that they know that anything we bring will be very high quality.
James Pursley: Yep. And, Elizabeth, just to add to that too, you know, as you heard Daniel Perez mention, the size of the physical therapy market, that's within the context of a broader MSK market as well. So you think about all the challenges that the market faces in a complex landscape that includes imaging and surgery, other non-surgical orthopedic care, it's a huge TAM, and we've always started to scratch the surface within digital physical therapy. So we think the best way to deliver value to our clients and to the market is to really focus on big problems that have a lot of room and a lot of complexity for us to have an impact. And we think MSK is a really, you know, is a market that fits that definition. While we, I think, judiciously look at things that are adjacent and leverage our strengths beyond MSK, but I think that gives you some sense of how we think about it. But you'll see a feature test. We're gonna we're moving with haste, but focus matters.
James Budge: You can see with our results the impact that focus has had on our business.
Elizabeth Anderson: Yep. That makes a ton of sense. And maybe just as a follow-up, we've talked a little bit about in the response to the first about sort of AI and the potential impact in your business. Can you elaborate on how you see AI in terms of the R&D function? Do you see that as efficient to drive or does that allow you to do more? In another way? How can you talk about sort of the internal R&D functionality of that?
Daniel Perez: Great question. So, you know, when it comes to R&D and the overall product, we see it as, you know, maybe I could break it down in three key ways. One is, like, the consumer experience and the product we're able to deliver to our end user. The second is, you know, with our care team efficiency, and the third is just how we build product. Let me walk you through each one of them. So first is the actual product experience. The core of our product experience is driven by AI. When you first sign up, we use a we personalize the program to each one of our members. Our computer vision is actually a subfield of AI, and human pose estimation is a subfield of computer vision. And I'll remind you all listening we moved into computer vision AI well before the chat GPT craze. So we were not just following some bandwagon here. We've been investing in AI for many years, but that is a core aspect of our product experience, and we're lateralizing to also having our AI care team assistant, Robin. But it is fundamental to how we deliver care is AI. Secondly is with our care team. So we have used AI to substantially increase the throughput of our care team, and you saw that in 2025. Our member base grew by just under 50, a 47% increase in members served, and yet our care team costs were flat in 2025. And so that just gives you a sense of just the incredible efficiencies we've been able to drive in the delivery of our care team via AI. Now the third bit is how we build our product. Now we're not unique in this. I think that the industry has shown that the most mature applications of AI right now are in software development. And we operate at the speed of a startup, and we have implemented my cofounder's been leading this charge himself. As CTO of the business, AI adoption across our engineers, data scientists, product managers, and designers, and just use the largest headcount of those are engineers. Their throughput, which is grouply measured with pull requests per engineer per week, is up 2x, basically, in 2025. And so we had doubled by that metric the efficiency and the output of our R&D team. It's one of the reasons we are moving so much faster than ever before, and it's only increasing over time. Thanks to the use of it. Last thing I'd add, which you didn't ask, but I'll give it to you anyways, is we've also weaved AI throughout the rest of the business. Finance, HR, operations, you know, supply chain, and you see that in that in 2024, operating cost as a percentage of revenue was 84% and in 2025, it dropped to 64%. That's a 2,000 basis point improvement, and that's thanks to a lot of the efficiency gains we're realizing from AI across the business.
Elizabeth Anderson: Super helpful. Thank you.
Operator: Thank you. Your question comes from the line of Ryan MacDonald with Needham and Company. Your line is now open.
Ryan MacDonald: Congrats on a great quarter and very close to a fiscal year. Dan, James Budge, much has been made about the current model shift towards the usage-based pricing model and the potential impact that may have on member usage in ASPs over time. Now your guidance assumes flat ASPs in 2026, but I think based on some of the commentary from the call, the 41 million sessions in '25 over 783,000 active members. You're averaging 52 sessions per member per year at this point. So can you speak to your confidence in the flat ASP assumptions for '26? Any potential for upside in if you're whether you're seeing any material differences in the average number of sessions for a member across the usage model versus the upfront model? Thanks.
Daniel Perez: Great. Great question. So we actually structured the model to give customers pricing clarity. So they wouldn't, they wouldn't see us at an increase in the first year of adopting the model. And so that's actually fundamental to how we transition customers to the model. We wanted to give them pricing clarity, particularly year-over-year pricing clarity, their first year as they were transitioning to the model, and that was just baked into our forecast. And so you're right. As we continue to improve engagement, it will continue to improve ASP over time, and it gives us headroom to do that.
James Budge: Yeah. I might just add there, Ryan. For sure, everything Daniel Perez just mentioned, and that's why you saw our ASPs largely flat from 24 to 25 as we look forward. The engagements are so strong right now. There is potential for it to creep up a little bit. I wouldn't consider it growing much more than just a little bit each year over the next several years.
Daniel Perez: And I would say we're at we're essentially all-time highs for member engagement and member satisfaction. And we expect that to continue as we keep rolling out new capabilities like our movement analysis and Robin. As well as just making those incremental improvements to singles and doubles to our experience. And ultimately, our ultimate aim for all of these investments is to improve member experience, improve outcomes, and lower cost for our customers.
Ryan MacDonald: Super helpful. And then maybe as a follow-up, curious about in terms of TAM expansion. You know, CMS is launching the access program later this year, which I think it happens the opportunity to open up the Medicare population or core Medicare population for Hinge, you know, which is an area you haven't focused too much on historically. Can you just talk about how interesting, you know, this access program is? Any intent to sort of apply or have you been accepted to the program yet? And if so, sort of when, you know, should we expect any sort of contribution from this? Is this more of a back half of '26 or more of a '27 and beyond opportunity? Thanks.
James Pursley: Yes. Thanks for the question, Ryan. As the market leader in digital MSK care, we're absolutely excited and to be considered for the program. Applications are currently being received, and no news has come out yet. But the potential scale of traditional Medicare with roughly 30 million addressable lives is clearly an attractive long-term opportunity for us. You know, that said, the process is still evolving. Applications are coming in. Medicare CMS has not issued the price and structure yet of the offering. And so while rates get to be finalized, yeah, we would assume that if the pricing makes sense, we're gonna participate. I wouldn't expect a meaningful contribution in '26. I think this would be more of a 2027 and beyond contribution.
Ryan MacDonald: Awesome. Thanks again.
Operator: Thank you. Your next question comes from the line of Scott Schoenhaus with KeyBanc Capital Markets. Your line is now open.
Scott Schoenhaus: Hey, team. Thanks for taking my question. I wanted to dive more into Hinge Select. So you've outlined that this year will be a year of incremental investment and expansion of this product. How are you looking at the opportunity and strategy here? Are you targeting certain populations in your eligible lives, specifically higher acuity patients, expanding into geographic densities with more imaging centers, orthopedic specialties, clinics, etcetera? Maybe just walk us through the strategy.
Daniel Perez: Great question. So it's a lot in your question right there, and it goes to building a two-sided marketplace is a hard problem. But solving hard problems are themselves key entry barriers and key moats. And so we are targeting our existing customers as well as prospects to upsell them to Hinge Select, and we are aiming to build our provider network in selected geos, both from customers who buy up to Hinge Select as well as from where our existing customer base is, and they're pretty much covering most large geos. And we're focusing especially on physical therapy clinics, imaging, outpatient orthopedic specialists, and in the coming quarters, we'll be expanding into other specialists within musculoskeletal care as well. But, yeah, I mean, if we close a customer and they have a high density in a particular metro, we then focus on that metro to make sure that we could build the provider density that we need. What's helpful is that we do not need nor are we trying to approximate the provider density of our health plan partners. This is very much complementary to a national plan or a health plan partners in that this is a precision network. And if you wanna go to the PT around the corner, you could use your main health plan. If you're willing to drive, say, five to ten minutes, you could go to the Hinge Select physical therapist, and we're able to waive your co-pay and give you a priority selection in terms of your appointment time. And same thing for imaging. So it's giving members that additional choice and nudging them towards these high-value providers that isn't gonna be as dense in a given metro. There's a financial incentive for them. And we've got thousands of clinics now that we've closed.
Scott Schoenhaus: That's great color, Dan. And maybe a follow-up here is then how should we think about the incremental revenues attached here, not just in terms of incremental utilization, but maybe down the road, potentially taking higher take rates, by providing more volumes to these clinics. Or just the overall higher contributions on the same take rate on the higher cost like an MRI scan or specialist visit.
Daniel Perez: Thanks. Good. Good question. So we're being conservative overall in our revenue forecast and not assuming really any revenue from Hinge Select in 2026. And so this is a we anticipate you we just start seeing meaningful impact in 2027. Still dwarfed by the impact of our digital physical therapy solution, but given our free cash flow, this is a solution that we knew would take several years to build but that once built would be one of our most enduring moats for the business. And we're willing to be patient on planting the seed. We know it's gonna take a few years for this seed to become a sapling and then to become a big tree. But we're able to be patient. We're being we're also being disciplined in terms of the spend. And we're not going too crazy, but we really like the market momentum.
Scott Schoenhaus: Thanks.
Operator: Thank you. Next question comes from the line of Jessica Tassan with Piper Sandler and Company. Your line is now open.
Jessica Tassan: Hi, guys. Thanks for taking the question and congrats on the really strong selling season. I was hoping maybe you could talk about the relative difference in yield at clients who are new to Hinge or in their first year of deployment versus those in maybe years two or three. Just interested to know, you know, is there a saturation point, or are you still tending to see kind of steady improvements in yield at tenured clients over time with new clients coming online. Slightly lower and ramping over time.
James Budge: Yeah. Hey, Jess. This is James Budge. Thanks for the question. So we actually saw some incredible progress in 2025 on that exact question. Before 2025, our typical first-year cohort that would come in would land around 1.3% engagement by the end of six months and up to about 2.5% at the end of the year. The 2025 cohort ended at 3.3%. For their first year. So that gives us a tremendous amount of confidence that when that continues to climb, like every year has climbed over the last five to six years, we're gonna see yield momentum continue into 2026 just like we saw in '25.
Jessica Tassan: That's really helpful. And then just I wanted to ask about the targeted enrollment efforts. Can you just elaborate on what types of conditions you all targeted to generate some of the yield upside in '25 and then any new conditions that you might be rolling out in '26 that you wanna give us a preview on. Thank you.
Daniel Perez: Great. Great question. So, I can't go into too much specifics around some of the algorithms we use, as we are ingesting so much data. I would say we are investing very meaningful resources, and it's and we're having a really good output. From those investments and the resources, as you could see in both the members enrolled as well as the impact on ROI, it's something that a lot of digital health companies and you know, others in our space have been trying to do for a long time. We now have the scale where we're learning a lot from our data, we're also getting multiple data sources. The most common data source we're getting from our employer and health plan partners is claims data. We're also getting pharmacy data, we're getting prior auth and pre-auth data. We're trying to increase the overall coverage from those. But it's multiple different data sources, it's allowing us to identify people who we think are in an active MSK care episode or at risk for becoming a high-cost claimant and giving them an opportunity to take part in our digital physical therapy program so we could both improve their outcomes and give them a great experience, but steer them away from low-value, high-cost care. And we're seeing that.
Jessica Tassan: Thank you.
Operator: Your next question comes from the line of Rishi Jaluria with RBC Capital Markets. Your line is now open. Wonderful. Thanks, guys, for taking my questions. Nice to see continued strength and outperformance in the business. Two for me, if I may. Firstly, I want to maybe take a step back and think about, you know, we're talking about TAM and some of the expansion opportunities, and, look, I appreciate that you're focused on TAM expansion, thinking about, you know, things conservatively. I'd have to imagine given your value proposition where you are, you know, making physical therapy more accessible to people who may not otherwise have the time or access. Is there an opportunity to, you know, go beyond just kind of this reactive physical therapy paradigm that we've been in where it's, you know, someone has an issue. They have a pain. You know, they're trying to avoid surgery, that's what we do. Physical therapy versus maybe something that's a little bit more proactive. That even the health plans themselves may incentivize to prevent future problems from appearing down the line. And, you know, I'd imagine insurers and your own corporate customers will be really well aligned with that. Maybe how should we just be thinking about that on a long-term basis? And I have a quick follow-up.
Daniel Perez: I think that's a great question. And so kind of like stepping back and thinking about, like, lifestyle medicine generally, movement is almost never contraindicated. It is, you know, whether you're a knee pain or not, moving your joints is it moved your knee joint is good. You know, cartilage doesn't actually it's avascular, and so there's not actually blood flow to your cartilage. So when you move your joints, you're actually exchanging waste and bringing in nutrients. And so, you know, we should always be moving about not just when we need it, and so you're absolutely right there. And we want in child for movement to become a lifestyle choice for a lot of our members overall. And so we are focused right now on capturing more and more of the outpatient physical therapy market. Again, it's a $60 billion market ahead of us. Even without leaving physical therapy, which, again, we're developing new products that are PT adjacent right now, which we hope to talk about in the coming months. But we don't want to lose and, you know, we could talk about TAM expansion all we want. We don't want to lose sight of the TAM capture. And that the capture of our existing TAM a $60 billion market. We're at about $600 million of revenue from in 2025 or 05/1988, and we want to make sure we capture the hell out of the $60 billion market ahead of us. And then start capturing lateral markets next to it and then start, you know, making itself more of a more of a lifestyle choice. Now what makes health care price points achievable in many ways is that you are treating an actual condition that ends up being very expensive, and once you start moving beyond that, you have to think through what the impact could be on ROI when it becomes more of a prevention solution. And ROI and prevention, I think, is very real. But it could be more difficult to attribute it could take a bit longer. And so we remain focused on physical therapy and folks who have a real clinical need. I don't think that's perfect because you're right. You know, we don't want just sick care. Many ways where you're only treating folks, but we do feel like we're intervening early enough in their care journey that we're preventing a lot of downstream costs. Now you could always intervene even earlier, you know, get people to just live a healthier lifestyle. Those are harder to get reimbursed for. But we're trying to intervene as early in the condition as possible while still being reimbursed. That answer your question?
Rishi Jaluria: Yeah. Yeah. Absolutely. No. That's really helpful. And then one for James Budge. Look. I appreciate you talk about maybe targeting stronger GAAP profitability, thinking about things in GAAP terms. Putting aside, obviously, the mismatch between revenue and expenses in a SaaS model with the GAAP income statement, you know, I think, especially in this environment, it's increasingly becoming appreciated. Maybe what's kind of your mental model that we should be thinking? Not necessarily in terms of the guide for 2026, but in terms of just we should be thinking about SBC and dilution going forward, is there kind of a target dilution rate, target SBC as percent of revenue? And any of this can be like over the several years. Again, not holding anyone to it, but just a mental model would be helpful. Thank you.
James Budge: Yeah. Yeah. Let me speak to both those points. As we mentioned in the prepared remarks, our dilution has come down each of the last three or four years. We were below 3% in 2025. We expect that to be even lower in 2026. So from a shareholder dilution, we're pretty committed to that, and I think we've demonstrated that with the amount of shares that we push out to our employees. From an SBC side, you saw sort of in that range of around $20 to $25 million in this past quarter. That's fairly reflective of what you'll see in the coming quarters. Obviously, there was that big giant amount that we had in the second quarter and a little bit of trickle effect into the third quarter from all of that pent-up stock-based comp that was waiting for us to go public. But the fourth quarter is a pretty decent representation of what you should expect on a quarterly basis. Going forward for probably at least the next four to eight quarters.
Daniel Perez: And but I just tack on, like, we view SBC as a real expense. And, you know, we are committed to GAAP profitability. And you could see from our share repurchase program as well, we look at total shares outstanding. And that's something that we're looking at, and we're managing the business towards, you know, or a metric that we look at internally is free cash flow per share. And we want free cash flow per share to continue to go up. And it's gonna go up both by improving the numerator as a free cash flow, as well as reducing the denominator, that is the total shares outstanding. And we want to continue to work on both the numerator and the denominator.
Rishi Jaluria: Alright. Very helpful. Thank you so much.
Operator: And your final question comes from the line of Stan Berenstain with Wells Fargo. Line is now open. Yes. Hi, thanks for taking my questions. First, on the sales pipeline, you mentioned moving into this midsized employer market. How much of your sales pipeline do you expect this midsized employers to account for? And do you anticipate more competitive takeaways here or is there more greenfield opportunity?
James Pursley: Yep. Stan, thank you for the question. While we don't break out or provide specifics in our pipeline by market segment, we do think that if you think about our position in the Fortune 500, having almost 50% of the Fortune 500 as clients. We think that that penetration rate can absolutely be achieved in other markets beyond just Fortune 500. So we see a lot of what we consider under penetration in the large in the midsized market SMB. And a bunch of others that we're currently playing. So we see a lot of growth there. And think that, again, we can bring some more penetration rates to those other markets beyond just Fortune 500. And the majority of Americans work for smaller employers. So that's actually where the majority of people that you'll be able to access are is in smaller employers.
Stan Berenstain: Appreciate that. And then for the follow-up, on Hinge Select, so some incremental economics for you. But curious, if we think about your platform, is there any difference in utilization rates among members that use Hinge Select versus members that don't? Thank you.
Daniel Perez: It's too early to tell right now. Some of those trends. What we are seeing is that very strongly trending towards we're able to reduce steer people towards lower cost, that is high value, lower cost care and away from lower value, higher cost care. And one of the key capabilities is, you know, you would get connected with an orthopedic specialist in house. We could quickly shift you between in-person and digital care and we hope to continue to scale up, Hinge Select, so we could get so we could share more of the specific slices of the data that you're asking for.
Stan Berenstain: Alright. Thanks so much.
Daniel Perez: Thanks. Great question.
Operator: Thank you. This now concludes the question and answer session. I will now turn the call back to Daniel Perez for closing remarks.
Daniel Perez: Good. Well, thank you, everybody, for dialing in and for taking the time to learn more about our company. And how we performed in 2025. I just want to leave you with just saying that just putting again our 2025 performance into context, in the last decade, there has been less than 10 companies have delivered over $500 million of annual revenue still growing at over 50% with a 30% free cash flow margin, and we're, you know, number nine or number 10 of that. Just to see just how unique our print was in 2025, and we stand in pretty elite company. And we're not done yet. This is a generational opportunity ahead of us to automate health care delivery. I think digital health in many other ways, hasn't delivered, and we're gonna show you that Hinge is an n of one company we are different. Thank you very much, and see you next quarter.
Operator: This concludes today's call. Thank you for attending. You may now disconnect.